Casey Katten: Thank you for joining us today to discuss e.l.f. Beauty's Third Quarter Fiscal 2026 Results. I'm Casey Katten, Vice President of Corporate Development and Investor Relations. With me today are Tarang Amin, Chairman and Chief Executive Officer, and Mandy Fields, Senior Vice President and Chief Financial Officer. We encourage you to tune into our webcast presentation for the best viewing experience, which you can access on our website at investor.elfbeauty.com. Since many of our remarks today contain forward-looking statements, please refer to our earnings release and reports filed with the SEC where you will find factors that could cause actual results to differ materially from these forward-looking statements. In addition, the company's presentation today includes information presented on a non-GAAP basis. Our earnings release contains reconciliations of the differences between the non-GAAP presentation and the most directly comparable GAAP measure. With that, let me turn the webcast over to Tarang.
Tarang Amin: Thank you, Casey, and good afternoon, everyone. Today, we will discuss our third quarter results and our raised outlook for fiscal 2026. I am proud of our incredible e.l.f. Beauty team for another quarter of consistent category-leading growth. In Q3, we grew net sales 38% and adjusted EBITDA 79%. Q3 marked our twenty-eighth consecutive quarter of net sales growth, putting e.l.f. Beauty in a rarefied group of high-growth companies. We are one of only six public consumer companies out of 546 that has grown for twenty-eight straight quarters and averaged at least 20% sales growth per quarter. We're excited by the consumer engagement we're seeing across the beauty category, and especially the momentum of our brands. On a consumption basis, our namesake e.l.f. Cosmetics brand grew 8% in the U.S. this quarter, two times the category. We increased our market share by 130 basis points, the largest share gain among over 700 cosmetics brands tracked by Nielsen. Nutarium, our clinically effective biocompatible skincare brand, which we acquired two years ago, continues to drive strong growth. Rhode, the high-growth beauty brand founded by Hailey Bieber, which was acquired in August, delivered an outstanding quarter achieving the number one brand ranking in Sephora North America and executing another record-breaking launch with Sephora in the UK. The strength of our brands is evident when viewed in the context of the overall beauty market. While beauty has comparatively low barriers of entry, very few brands have been able to scale. Of the nearly 1,800 cosmetics and skincare brands tracked by Nielsen, only 14 have surpassed $200 million in annual retail sales. We have four of these 14 brands. The combination of our value proposition, powerhouse innovation, and disruptive marketing engine continue to fuel our results and our outperformance relative to the category. Let me take a moment to discuss a few of the milestones we achieved in Q3. Starting with our value proposition. We believe in democratizing access to the best of beauty. Each of our brands offers accessible price points relative to the competitive set. For context, the average price for e.l.f. Cosmetics is $7.50 today, as compared to approximately $9.50 for legacy mass cosmetics brands and nearly $30 for prestige brands. 75% of e.l.f. Brand product portfolio sits at a phenomenal value of $10 or less. While there are other brands with low price points, our real advantage is our ability to also deliver exceptional quality. Our quality scores have gone up every year over the past ten years. Consumers love e.l.f. for delivering an incredible price point and quality that is often better than prestige. Looking to innovation. We have a unique community-led approach to innovation across our brands, focused on democratizing access to the best of beauty through our premium quality products at extraordinary prices. Our namesake e.l.f. Brand held four of the top 10 new products in all of mass cosmetics in 2025, on top of holding six of the top 10 new products in 2024. The consistency of our winning innovation is supporting our share gains across segments. We've more than doubled e.l.f. Cosmetics' market share over the last five years, and see significant opportunity ahead. As compared to the 22% share we have in face makeup, we have a 13% share in lip and a 9% share in eye. We have significant white space in these large segments and believe we have the innovation engine to conquest them. Spring 2026 is an exciting time for innovation. Building on the success of e.l.f. Glow Reviver Lip Oil in 2024, and Melting Lip Balm in 2025, we recently launched our Glow Reviver Slipstick at a $10 price point compared to a prestige item at $48. We're pleased with the initial reaction we're seeing from our community, with Slipstick already achieving the number one new lipstick on both Amazon and TikTok shop, where it debuted. We're also excited about e.l.f. Soft Glam Satin Concealer, our first concealer innovation in the last five years, at an incredible $5 price point compared to the prestige item at $32. We're answering our community's call for value. You can expect to see our spring innovation rolling out with our global retail partners over the coming weeks. We are leaning into our disruptive marketing engine to fuel brand awareness across our portfolio and deepen the connection we have with our community. We are also reaching new audiences through our unique brand-on-brand with like-minded disruptors. Two years ago, e.l.f. Cosmetics partnered with Liquid Death, one of the fastest-growing beverage brands, for a limited edition Corpse Paint collection that sold out in forty-five minutes. Our community was thirsty for more, so we reunited with Liquid Death to launch a sequel. The response from our community to this limited edition Lipenbaums was phenomenal. Our Lip Crip Vault sold out in nineteen minutes. Our campaign drove over 4 billion earned impressions, and our date with death stunt generated over 10 million views. We also saw over 25 million attempts at completing the Liquid Death Obstacle course in our ElfUp Roblox experience, with an average play time of over seventeen minutes per session. In another first-of-its-kind collaboration, e.l.f. recently joined forces with H&M to reimagine three e.l.f. Beauty icons. The collaboration marks a number of firsts: e.l.f.'s first global collaboration dropping in 27 countries, e.l.f.'s first fragrance launch, a category our community has been asking for, as well as H&M's first partnership with another beauty brand. The collection launches for a limited time only starting January 29 with a robust activation plan including outreach to H&M's 150 million loyalty members globally. The excitement on our marketing calendar doesn't just stop there. Make sure you tune in to Peacock this Sunday, where e.l.f. will be debuting a commercial at the big game. While the big game serves as our ignition point, we plan to run our commercial for an additional eight weeks across a variety of platforms with a total estimated campaign reach of nearly 300 million. The strength of our category-leading results and productivity continues to earn our brand space with our global retailers. The e.l.f. Brand remains the most productive cosmetics brand on a dollar per linear foot basis with our largest retail customers globally. We are looking forward to the expansion we have planned for e.l.f. in spring 2026, expanding our space within Ulta Beauty in the U.S., and launching with Diem in Germany. We're leaning the strength of our retail relationship to enhance the global distribution footprint for our brands. In September, Rhode launched in retail for the first time with Sephora, the world's leading global beauty retailer, achieving the biggest launch in Sephora North America history, two and a half times bigger than any other brand. In November, Rhode achieved another record-breaking launch as it expanded with Sephora in the UK. This was the largest launch in Sephora UK history, outperforming the previous record holder by five times. In terms of what's next, we are excited to launch Rhode in Australia and New Zealand with Mecca this month to further its global reach. We are seeing significant pent-up global appetite for Rhode. International drives approximately 20% of Rhode's DTC sales, while 74% of the brand's social followers are from outside the U.S. Turning to Notorium. When we acquired the brand two years ago, it was only available on Target, Amazon, SpaceNK, and its own website. Since then, we've launched Notorium with Ulta Beauty in the U.S., Shoppers Drug Mart in Canada, Boots in the UK, and Sephora in Australia and New Zealand. We're pleased by the strong growth in share gains we're seeing across retailers. We will be expanding Notorium's retail presence to Walmart for the first time this spring, where the brand will be launching in a subset of U.S. stores. With this launch, we are continuing to further Notorium's unwavering commitment to deliver the science of consistent skincare to everyone everywhere, every day. Looking across our brand portfolio, we're in the early days of our international opportunity we see. For context, international drives approximately 20% of our net sales, as compared to legacy peers having over 70% of their sales outside the U.S. In summary, we're excited by the broad-based momentum we are seeing across our brand portfolio and remain confident in our ability to continue to gain share and deliver best-in-class growth in beauty. I'll now turn the call over to Mandy to talk more about our third quarter results and our raised outlook for fiscal 2026.
Mandy Fields: Thank you, Tarang. Net sales grew 38% year over year, on top of 31% growth in Q3 of last year. The acquisition of Rhode contributed $128 million or approximately 36 percentage points to our Q3 net sales growth. This better-than-expected performance was supported by strong retail sell-throughs in Sephora North America, a record-breaking launch in Sephora UK, and a strong holiday period on roadskin.com. Looking to our organic sales trends, excluding Rhode, our Q3 net sales were up approximately 2% year over year. This was lower than anticipated given some softer trends we've seen in the UK and Germany, our largest international markets. As we've talked before, we're seeing weaker consumption in the UK, and we're cycling our largest international launch to date with Rossmann Germany. Outside of those markets, international consumption remains strong. Looking to our geographic regions, our net sales in the U.S. grew 36% year over year while in Q3, international net sales grew 44%. Pricing and product mix added approximately 38 points to net sales growth, while unit volumes were relatively flat year over year. Q3 gross margin of 71% was down approximately 30 basis points compared to prior year and up 200 basis points sequentially versus Q2, in line with our expectations. The year-over-year decrease was largely driven by tariffs partially offset by pricing and mix. On an adjusted basis, SG&A as a percentage of sales was 51% in Q3 as compared to 54% in Q3 last year. While we continue to make ongoing investments in our team and infrastructure, this was offset by leverage in our marketing spend on a year-over-year basis and a timing shift of some of our SG&A expenses into the fourth quarter. Marketing and digital investment for the quarter was 21% of net sales, as compared to 27% in Q3 last year. Q3 adjusted EBITDA was $123 million, up 79% versus last year. Adjusted net income was $74 million or $1.24 per diluted share compared to $43 million or $0.74 per diluted share a year ago. Moving to the balance sheet and cash flow, our balance sheet remains strong, and we believe positions us well to execute our long-term growth plans. We ended the quarter with $197 million in cash on hand compared to a cash balance of $74 million a year ago. During the quarter, we repurchased approximately $50 million of our outstanding common stock given the disconnect we see between e.l.f. Beauty's market valuation and the strength of our business fundamentals. At quarter end, approximately $400 million remained available for repurchase under our previously authorized repurchase program. Our liquidity position remains strong, with less than 2x net debt to adjusted EBITDA even after our acquisition of Rhode. We expect our cash priorities for the year to remain on investing behind our growth initiatives and supporting strategic extensions. Now let's turn to our updated outlook for fiscal 2026. We are raising our fiscal '26 outlook on the top and bottom lines primarily driven by Rhode's outperformance. For the full year, we now expect net sales growth of approximately 22% to 23% year over year, up from 18% to 20% previously. We expect Rhode to contribute approximately $260 million to $265 million in net sales to fiscal 2026, versus our expectation for $200 million previously. On an annualized basis, our outlook assumes Rhode will achieve net sales growth of approximately 70% year over year. Looking to the second half, our guidance implies 31% to 33% net sales growth. On an organic basis, excluding Rhode, we expect net sales to be up approximately 2%. Let me walk through the building blocks of our organic sales outlook. We are assuming approximately 6% global consumption growth similar to what we saw in Q3, partially offset by a four percentage point headwind from pipeline, as we cycle significant retail expansion we had in the second half of the year, including the launch of e.l.f. in about eleven thousand Dollar General stores and a 50% space expansion for e.l.f. in Target. This dynamic is driving shipments below consumption in the second half of our fiscal year. Our consumption remains strong, and we believe consumption and market share gains are the best indicators of the underlying health of our business. Over a longer period, shipments tend to even out with consumption. The great news is consumers continue to choose our brands, driving our consistent outperformance relative to category trends. Turning to adjusted EBITDA, for the full year, we now expect $323 million to $326 million in adjusted EBITDA, as compared to our expectation for $302 million to $306 million previously, largely due to the outperformance we saw in Q3 partly offset by a timing shift of expenses into Q4. Our outlook implies adjusted EBITDA growing 9% to 10% year over year and adjusted EBITDA margins of approximately 20%, which we believe is quite strong considering the level of tariffs we faced this year. Looking to the second half, our outlook implies adjusted EBITDA margins of approximately 19%, down approximately 300 basis points versus last year. There are two key factors. First, marketing. We expect marketing spend to be about 27% of net sales in the second half, up about 200 basis points relative to the 25% of net sales we spent in the second half of last year, including a new commercial debuting at the big game that Tarang mentioned. We have a number of marketing campaigns planned in Q4, an activity we did not participate in last year. Second, within non-marketing SG&A, we have planned investments in two key areas. First, space expansion. The strength of our brands continues to earn us additional space and distribution, which comes with incremental costs related to fixturing and merchandising. Our second investment area is in our team. We continue to build our team to support the significant white space we see across categories, brands, and geographies. In summary, Q3 marked another quarter of industry-leading growth. Our business fundamentals remain strong, and we continue to make progress unlocking the full potential we see for our portfolio of disruptive brands. With that, operator, you may open the call to questions.
Operator: In Press touch tone telephone, withdraw your questions, you may press star and two. If you are using a speakerphone, we do ask that you please pick up the handset prior to pressing the keys to ensure the best sound quality. Once again, that is star and then one. Join the question queue. Our first question today comes from Olivia Tong from Raymond James. Please go ahead with your question.
Olivia Tong: Great. Thanks. So first question is just a better understanding about your approach to spending as well as guidance. Great quarter for December, but looks like you're expecting EBITDA margins in the low double-digit range for Q4. So obviously, there's a super lag. You talked about some of the other spending plans. But I would assume that Rhode and FX also provide tailwinds on margins. So just if you could unpack that first. Then second is just around your ability to expand Rhode at a faster pace. There's great momentum there. So, you know, you talked about Australia upcoming, but there's obviously a lot of world out there, and you already have exposure in Western Europe. So just thinking about the path forward for Rhode from here. Thank you.
Mandy Fields: Hi, Olivia. I'll take the first question. We'll let Tarang take the second one. So on EBITDA margin, you really have to look at the second half in total. And so when you look at the second half, we're actually outlooking around a 19% adjusted EBITDA margin, and that's up from around 17% previous. And so we talked about seeing some costs shift from Q3 into Q4. That was inclusive of marketing, where we had some cost shift and where we've added additional spend. As we've talked about and you've seen, the marketing in action with the collaborations that we've done, just at the start of 2026 calendar year. And with the Super Bowl activation or the big game activation that we have coming this weekend. And so those are some of the areas in addition to team and infrastructure that we've talked about making those investments in. But overall, second half, outlook on adjusted EBITDA is better than previously expected.
Tarang Amin: Hi, Olivia. This is Tarang. I'll take the second question on expanding Rhode at a faster pace. What I tell you is less about expanding Rhode at a faster pace, but continuing the excellence of launches that we've had. Rhode growth has been phenomenal, outweighing anyone's expectations. If you look at it, it's really the quality of execution that we've had. Sephora North America, the biggest launch ever, number one position there. Look at Sephora UK, five times bigger than the next biggest launch. We're tremendously excited. I think next week, we launch with Mecca in Australia and New Zealand. And so it's more about making sure we're being disciplined in the rollout. Now the great news, as you heard in the prepared remarks, is there's tremendous pent-up demand for Rhode. Only 20% of our DTC sales are outside the U.S. Yet 74% of our social followers are outside the U.S. So we have very high aspirations in terms of the globalization of Rhode over time, but we want to make sure we're doing it with the same level of quality and care. We've done so far in both North America and the UK and soon to be Australia and New Zealand.
Olivia Tong: Great, thanks. And then in terms of the core e.l.f. Brand, can you talk about some of the things that you're planning to do in order to drive incremental growth there? Clearly, you've got some strong laps that you have to go against, but you talked about some of the additional shelf space. What about international launches further than the ones that you've already announced?
Tarang Amin: Well, Olivia, I guess the first thing I'd tell you is we're using the same strategy driven twenty-eight consecutive quarters and not only net sales growth but market share gains. I sometimes feel that people don't fully appreciate just how phenomenal the market share gains have been and as consistent. We've gone back as far as we can look. We've not seen another cosmetics brand grow share for twenty-eight consecutive quarters and even in Q3. Building a 130 basis of market share is pretty phenomenal. So I'd say our core proposition, our value proposition, powerhouse innovation, and disruptive marketing engine. Many examples that you heard on this call will continue to fuel the brand. And in terms of continued growth on e.l.f., one of the real strengths that we have is every one of our major retailers their most productive brand on a dollar per linear foot basis. And that naturally leads to more space and more support. You're seeing that right now with the rollout that we have at Ulta Beauty in terms of more space. I'm particularly excited about the rollout coming up pretty soon with DM in Germany. It will bring, building on the phenomenal launch we had last year with Rossmann in Germany as well as with Amazon, it really will bring e.l.f. to the majority of German consumers. I'd say that's probably the last thing I'd say is our ability not only to seed the brand in different countries, but then really build out our presence in those countries like we did in Canada, UK, soon to be Germany. Really, I think there's a ton of potential both in the U.S. as well as internationally.
Operator: Our next question comes from Dara Mohsenian from Morgan Stanley. Please go ahead with your question.
Dara Mohsenian: Hey, guys. Tarang, I was hoping you could give us a bit of a state of the union on the e.l.f. cosmetic business in the U.S. just heading into the spring. You're obviously coming off a very large price increase. Maybe looking backwards, how do you think that's been received at the consumer level? Should we expect to see volume pick back up going forward as some of the sticker shock wears off? And then you have the huge spring innovation pipeline a couple years back, not quite as strong last year. You mentioned some exciting products today coming up. Just any perspective on the overall innovation pipeline for the spring this year relative to last year and any additional thoughts around the U.S. in terms of category growth here or other important dynamics? And then maybe just second, you spoke about international for Rhode, but can you just give us an update on innovation and portfolio plans around Rhode in the U.S. in fiscal 2027? Are there any plans to move into additional products, subcategories? And just as you think about the brand longer term, how do you look to extend the durability and sustain the momentum that you've seen this year? Thanks.
Tarang Amin: Sure. Hi, Dara. So I'd say, first of all, on the state of the e.l.f. Brand in the U.S., it's never been healthier. Our consumption is the category. We continue to build share, as I talked earlier. And one of the things that I was really pleased by was the execution on our price increase. We took a 15% price increase and we saw single-digit unit declines, which is actually quite good in your seeing that in the dollars that you're as we go forward. Usually, spring is a time that many of our competitors usually take price increases. We're different than a lot of our competitors at historically we've grown through unit volumes, whereas a lot of our competitors have grown through price increases in AUR. So we do believe our value proposition will continue to get better as time goes on given that we've already taken our pricing and we live with pricing and the consumers have accepted that. Second, as I think about innovation, you're right. 2024 was the biggest year we ever had in innovation. 2025 was the second biggest year of innovation we had. So it was not as big as 2024, but it still was a good innovation year. So we do have that consistency we mentioned earlier 1,800 cosmetics and skincare brands. Yet we held in 2025 four of the top 10 positions from an innovation standpoint on top of six of the top 10 positions the year before. So really have proven strength in innovation and our ability to do so. I'm particularly excited about the innovation we have this spring. You know, we mentioned our slip stick at $10 versus a prestige item at 48. I look at our soft glam satin concealer at a jaw-dropping price of $5 versus a prestige item at 32. And we have a number of other innovation items that I feel really good about. Now we won't get a full read on those. Well, it's promising early days in terms of our own site and places we've launched them. Really over the next few weeks is when we'll get a much better sense on the spring innovation and how it compares to 2025 as we go forward. We also have very strong innovation plans across our brand. So you mentioned Rhode. Rhode, if you look right now, we just launched a face mask as well as a lip mask. There's major activation taking place in Montana right now on that. And what we see is just really great consumer acceptance on Rhode innovation because it is so curated and thoughtful. The one of everything really good works for Rhode. Notorium also has a very strong plan as does e.l.f. skin and well people. So innovation is definitely one of the key drivers of our business, and I feel great about that. Last, you asked about the category. I've long been bullish about the beauty category, particularly cosmetics and skincare. We're seeing some of the healthiest category growth rates we've seen in quite some time. So in this last quarter, the color cosmetics category is up 4%. The skincare category is up 8%. You know, I'm glad that e.l.f. was more than double both of those category growth rates, but that's always great to have a tailwind when it comes from a category standpoint. So not only is the category healthy, but we're particularly well positioned with our value proposition, innovation, and marketing within the category.
Operator: Our next question comes from Andrea Teixeira from JPMorgan. Please go ahead with your question.
Andrea Teixeira: Thank you, operator. Good afternoon, everyone. I just want to kind of like dig into Tarang what you just said in terms of innovation. But also from a perspective of cat or subcategories, I know you have, like, 50 to 60% in market share for primers. You basically created some of these items, right, in a way or basically brought these items to, from Prestige into a more affordable price point. I was wondering now your like, the two other very big subcategories, lip and mascaras, you have been pushing, particularly lip, as we think about the consumer being more stretched maybe she wants to make sure that she has more basic items like lipsticks and mascaras. I was wondering I haven't seen any you know, pardon if I missed anything major in So I was hoping to see if you have against the spring and thinking about innovation across where the low hanging fruit I'm assuming, are still there. Right? I mean, if you can kind of give us a perspective of how, both your innovation team and your retailers are pulling and asking you to bring affordable items within their aisle. Or electronic aisle, I should say.
Tarang Amin: So hi, Andrea. So I'll answer that. I'd say first of all, we feel really great about our innovation plans as I just talked. And our strategy is really twofold. Number one is really building strength in those segments that we have very large share positions in. We now have 21 segments where we have the number one or two position, and those become really great competitive moats. Be my guest competing against us in primers or any of the other categories. We have very strong share positions. And we continue to innovate on those. The second is conquesting categories where we're undershared. So if I just look relatively within the category, in face we have a 22% share, clear leadership in face. In lip, we went from almost nowhere to a 13% share and a really strong position in lip. We continue to innovate in lip, building on the success we have with Glow Reviver, a couple years ago. With our slip stick. I mean, it's basically lipstick on a stick. Which is a phenomenal form. And then in eye, we now have, I mean, literally it was nowhere to 9% share in eye, and we continue to have innovation across all three of those segments and you'll continue to see more. I think some of our mascara innovation that's coming out is slated closer to the fall time frame that you'll see. So and we've been pretty consistent. We've been chipping away at kinda mass mascara share as well as overall eye share and lip share for a while. So I feel good about the innovation strategy, both leveraging the strengths that we have, continue to feed that, including our growing franchises and extending those franchises in other segments. Well as what we have on innovation pipeline, both in the spring as well as upcoming in the fall. And as I look at next spring. So you'll continue to see, that work. And then the last area, even though you're not aware, is, the progress we're making in skincare. We now have three of the fastest growing brands in skincare. I feel really good about the innovation we have on e.l.f. Skin. The round of innovation we have on Notorium and Rhode, as I just mentioned. We really have really stepped up our ability in skincare and also the momentum we're seeing there.
Mandy Fields: And just to add to that, Andrea, I'll just add on that from because you asked about our value and bringing that to our retailers. No, 75% of our portfolio still sits at $10 or less overall. So we are very much focused on bringing that value to our consumers, and Tarang highlighted our soft glam satin concealer, which we're launching at a five-dollar price point, which is really incredible. And a very competitive price point in the category. And so that's always gonna continue to be our focus. How do we bring that value to life for our consumers?
Operator: Last question comes from Peter Grom from UBS. Please go ahead with your question.
Peter Grom: Great. Thank you and good afternoon, everybody. Can I just ask on the split of the $128 million of Rhode, just U.S. versus international? And I just asked this in the context of it would imply that for the base business in the U.S., it would be pretty challenged if the ED20 rule kind of apply. So just maybe help us understand that. And then just on the 6% consumption that you expect in the back half of the year, maybe could you outline specifically, is that what you expect for 4Q? And can you break that down U.S. versus international? Thanks.
Mandy Fields: Hi, Peter. So for Rhode overall, the look. Very pleased with Rhode's performance, $128 million contribution to the quarter. We haven't broken that out across international and U.S., but the 20% is relatively close. Right? We talked about Rhode having 20% of their business outside of the U.S. We also talked on the call about seeing softness in some of our key markets on the organic business in the UK. As we've seen a highly promotional environment that has remained the case throughout the holiday. And then also in Germany where we're cycling the launch of Rossmann in Germany. And so when we think about our overall consumption that we're implying, the 6% is what we see for the second half of the year. And that is gonna be offset by that four-point headwind from the pipeline. As we talked on the call. So that's kind of how we get to our net sales outlook. For the second half overall.
Operator: Our next question comes from Sydney Wagner from Jefferies.
Sydney Wagner: Hi. Thanks for taking our question. Can you help contextualize where you see the largest buckets of share gain opportunity going forward for core e.l.f.? Just curious how you think about the level of contribution maybe from mass tiers, prestige players, or even adjacent non-color beauty categories? And then if you look across international markets, what are the near and long-term KPIs you're watching most closely to assess brand health and positioning? Along with innovation traction for Core Elf. Thank you.
Tarang Amin: Hi, Sydney. So on your first question, on the share gains, let me back up a little bit and kind of provide. If you think nationally, we're about a 13% share. At Target, our longest-standing national retail customer, we're over 20% of their category. So we see major share gains including a target going forward. And it is that combination of leveraging where we have strengths. I don't think anyone thought we'd have a 20% share in face at some point, but we're not done there with the innovation we have. And we certainly have major opportunity in both lip and mascara and the innovation to help conquest those. The last piece, you know, I brought it up before, but skincare is a major growth factor for us, and we have three brands really to pursue. Our aspirations, in skincare. And then in terms of the key KPIs for international, I think they're very similar to the KPIs we use in the U.S. We really take a look from a consumer what's the penetration, what's our ranking amongst the key and most desirable consumer sets, so the strength we have in the U.S. amongst Gen Z, Gen Alpha, Millennial, we track that, and we're very pleased with what we're seeing. In the markets we enter. Second thing we look at is productivity. What is the productivity in terms of the sales per linear foot that we deliver in? And as I mentioned earlier, we're not only the most productive brand here in the U.S., but we are with our major U.S. major international retailers, Boots and Superdrug being the two biggest Shoppers Drug Mart, Walmart Canada. And so we look at that. Then I'd say the third are the sub-metrics by each of our core functional areas, and what I'll tell you in summary is we're really pleased overall with our international market. Mandy talked about, hey. Look. We're currently facing some challenges in the UK given the promotional environment, but we continue to see very strong build in terms of awareness, overall brand equity ratings. Heard that some of our competitors are gonna be taking pricing in the UK, so that should help aid the value proposition we have in the UK. And in Germany, the real strategy I talked about earlier is really building our presence in the countries that we've already seeded. So being able to have DM, Amazon, and Rossmann, Germany allows us to put our full marketing model on in that country once you have real presence. So I'm particularly excited about what we can do in Germany, the largest market in Europe. And we will continue to seed other markets. But all the consumer metrics we're seeing right now are healthy, relative to the time that we've entered. Each of these, each of these countries and each of these retailers. So really encouraged by what we can continue to do and not only on e.l.f., but as I mentioned before, across the portfolio, e.l.f. Skin, Notorium, and Rhode. All have major potential, and we're pleased with the results we're seeing behind them.
Operator: Our next question comes from Anna Lizzul from Bank of America. Please go ahead with your question.
Anna Lizzul: Hi, good afternoon. Thanks so much for the question. I wanted to follow-up on your marketing spend plans in the second half. Just curious what drove the decision this year to go back to a Super Bowl ad after not having one last year. Then if we look at fiscal Q4, of course, acknowledging that you have that Super Bowl ad and some distribution gains, this should be significantly higher marking in fiscal Q3. Wanted to better understand an allocation of what's driving that between these factors. I know you talked about your EBITDA margin in the second half overall now expected to be around 19%. Which is better than your expectation for the prior quarter. So I wanted to better understand what changed. You did mention that cost shift from fiscal Q3 into fiscal Q4, but it does look like it's overall lower in the second half than you originally expected, if you could elaborate on that. Thank you.
Mandy Fields: Hi, Anna. Sorry about that. We have a little technical difficulty over here. So marketing spend in the second half, yes, we overall for the year, let me take a step back. Targeting 24 to 26% for our marketing spend. So that remains unchanged. How the quarters have come together, we did have some timing shifts. You saw the number of campaigns that we've already had as we started Q4. And so that is what's driving some of that marketing spend. Heavier in Q4, but really overall for the second half, largely the same. On the Super Bowl or the big game, as we have to call it, you know, we did participate in in a way last year. It just wasn't through an ad. And this year, we're gonna do it through streaming on Peacock. We'll also be on Univision. And so, again, it's not that big, broad national ad. And then we're also gonna continue to run that for an additional eight weeks as we go through. So we'll continue to get some additional hits and eyeballs from that activation as well. And so feeling really good about the marketing spend. And then on the SG&A or on the adjusted EBITDA for the second half, like I said, from an adjusted EBITDA margin standpoint, we are seeing that better than we previously outlooked. And, really, that's why I'm looking at things on a second half basis because we did have some timing shifts on the quarter.
Operator: Our next question comes from Bonnie Herzog from Goldman Sachs. Please go ahead with your question.
Bonnie Herzog: Alright. Thank you. Hi, everyone. Actually, I had a question on your full-year guidance. You raised your net sales guidance at the midpoint by $46 million but you now expect Rhode sales will be about $60 million to $65 million higher, which does suggest e.l.f. Brand growth will now be lower. So could you talk to that and maybe what's changed? I guess, is this outlook conservative? Or is there something you're seeing, I don't know, with some of the innovation you've rolled out so far, which maybe gives you a little pause?
Mandy Fields: Hi, Bonnie. So I'll take that. So overall, we did raise our guidance, so we're very pleased to be in a position to raise our guidance up to 22% to 23% on the full year. What's implied in that on the e.l.f. brand or on an organic basis, is around 2% for the second half, and I'll take you back to the math that we talked about on the call. We're seeing about a 6% global consumption rate right now. And so we're using that, and we're saying four points come off from a net sales standpoint given the pipeline that we have to cycle in the base. So what changed to your question, is that global consumption rate. We were seeing that consumption rate closer to 8% when we came out with our guidance in November and have since seen that come to around 6%. So I would say that would be the key change as we look at the organic business overall.
Tarang Amin: And, of course, if that gets better, there's some upside. And so we're just using kind of what we're currently seeing right now, but we feel good about the fundamentals.
Mandy Fields: That's right. As Tarang mentioned, for spring resets, are still taking place. Some haven't even started yet. And so that will allow us to get a real read on how spring innovation is performing. And so that could be a potential opportunity as we look forward.
Operator: Our next question comes from Filippo Folorni from Citi. Please go ahead with your question.
Filippo Folorni: So for Q3, can you help us bridge the gap in terms of the organic performance in the U.S.? Relative to the strong double-digit consumption growth that we see in track channel data. I thought that pipeline cycling was more Q2 to Q4. So maybe there a bigger impact in Q3, than previously expected? That drove that gap? And then looking forward, into Q4, can you give us a sense of what you expect in terms of U.S. consumption within that 6% global consumption? We expect U.S. to be above that? Given some of the international weakness, that you mentioned? And when do you think we should see more consumption data some of the benefits from the innovation and the shelf space gains that you mentioned earlier in the call. Thank you so much.
Mandy Fields: Hi, Filippo. So for Q3, we talked about we're looking at things in the second half in aggregate. Which I think is a better way to look at things because in Q3, we did have some timing of shipment shift over into Q4, and so that's why I keep anchoring back to the second half. Originally, we had expected Q4 to be a negative quarter for us, but now we're outlooking that to be flat to up 2% would be implied by our guidance. So that's a good thing, but that does imply some shipments shifted from Q3 into Q4. And in addition, as I just spoke about, to Bonnie's question on the global consumption rate, we're seeing that at around 6% versus 8% previously. We haven't broken out what to expect from a U.S. versus international. In fact, we really wanna anchor back to the total level on some of these numbers because there are so many ins and outs with you looking at U.S. and at Rhode versus organic. We really wanna anchor back to what we're seeing overall as a total company, which is very strong momentum. We just reported 38% net sales growth quarter, and our outlook looking for the second half, 31 to 33% net sales growth, which is quite strong in this backdrop.
Mandy Fields: And just to finish up with those questions on consumption and innovation, and when do you start to see those things marry up? Or see any benefit from those. And the spring innovation, like we were saying, resets are starting now. Some haven't started yet. So I think by the time you get to the March, you should start to see some of that out in consumption data as we go through.
Operator: Our next question comes from Anna Andreeva from Piper Sandler. Please go ahead with your question.
Anna Andreeva: Great. Thank you so much for taking our questions. We have a couple. You guys talked about softness in the UK for e.l.f. Organic. Can you talk about did that get worse this quarter? I think that's your biggest international market. So could you talk about some of the initiatives there to return back to growth? And then just to follow-up on the Rhode, congrats, I mean, really great results and understanding some of the investments is pretty necessary and the pipeline of innovation there is different than at core. But can you talk about where are you in the investment cycle at Rhode? Should we think that's something that's continuing into 2027? Until you've kind of lapped owning the business in the back half? Thank you.
Tarang Amin: So hi, Anna. This is Tarang. So starting with softness in the UK, we have seen the UK have a higher promotional environment than has been normal. And so that certainly has impacted us. In terms of our strategy, I think it's threefold. One is reinforce our value proposition. As I mentioned earlier, a number of our competitors have announced they typically take pricing in the spring. So we'll see how that pricing plays out in terms of how that helps our overall value proposition. Second, we have a new leader for EMEA, a very experienced GM, and the focus really is building out depth in our existing markets. And so there's, you know, it's been quite a while since we've done awareness advertising in the UK, some other levers within our overall marketing engine that will apply. And, certainly, innovation always plays every single geography rep. So just as we see promising signs in our spring innovation in 2025, we believe that will play out in our international markets, including the UK. So there'll be, I'd say, the three things. You know, greater focus on the market, new leadership, and then, being able to really leverage both our innovation and marketing. We are confident of our position in the UK longer term. If I look at over the last, as I mentioned earlier, the last five-year CAGR for international, at 55%. 60% of that was driven by the UK and Canada. So we still have much further to go. In the UK, and in Canada where we continue to have momentum. Then on your second question in terms of Rhode, I would say where we are in the investment pipeline. First of all, the team has done a phenomenal job, being able to keep up with the tremendous demand that we're seeing for Rhode. Right? We're continuing to work with Sephora to make sure that in stocks are right. I mean, the brand is just so outsold anything anyone's expecting that the team has done really a herculean job really keeping up from a supply standpoint, making the right investment. And so we have good capacity to be able to continue to do that. It's more forecasting thing relative to the demand we saw, and we'll get better there. In terms of other investments we're making, you know, we mentioned when we acquired the brand, one of the early investments we made is field seal sales support. For Sephora and really making sure that that launch went off without a hitch, and that was one. Over time, we talked also during the time of acquisition. We would wanna invest more in marketing and the team. We continue to build out the team. Particularly given our global aspirations for the brand. And so I feel good in terms of where we are on the cadence of both the rollout as well as the investments we're making in some respects, it's very much pay as you go. I mean, the Rhode margins are pretty phenomenal, and we'll continue to invest in it. As we mentioned during acquisition. I don't know, Mandy, if you have anything else to add there.
Mandy Fields: That's good.
Operator: Our next question comes from Susan Anderson from Canaccord Genuity. Please go ahead with your question.
Susan Anderson: Hi, good evening. Thanks for taking my questions here. I guess maybe can you give us an update just on tariffs when you'll start to cycle the impact there? And then just curious, have you been able to fully mitigate the tariff impact with the price increase and then other efforts? And then also, maybe if you could talk about I think on the last call, you talked about holding back some inventory to some retailers that haven't changed their pricing. I guess I assume that's been resolved, and you're shipping to them now. But I guess I was curious if there was any catch in the quarter there as well.
Mandy Fields: Hi, Susan. So on the tariff front, it's been pretty quiet since the November 10 change in tariffs. So the tariff rate is now at 45%. As you know, it has been as high as 170% earlier in the fiscal year. And so we really haven't had any changes since that point in time. And if it remains at 45%, that becomes a little bit of a tailwind for us as we get into fiscal 2027 given that we were paying those higher rates as we started the year. And so that's the latest on the tariff front. On a shipment standpoint, yes, and pricing, that was fully resolved. That was fully resolved as we exited the second quarter, and so no further updates on that front.
Operator: Our next question comes from Steve Powers from Deutsche Bank. Please go ahead with your question.
Steve Powers: Hey, thanks so much. Good evening. Mandy, one of the areas you mentioned as a driver of higher SG&A spending in the fourth quarter is spending on that incremental space expansion. I just wanted to dig in there a little bit juxtaposed against the four-point top line shipment headwinds you framed for the back half and in the fourth quarter. I guess, as you step up that spending, on expanded space, is the implication that that's in that's you know, that four-point headwind is net of that. Incremental space expansion is the implication, alternatively, that you're gonna spend on organic space expansion, but you won't realize any revenue gains on that until we get into fiscal 2027 beyond the fourth quarter. Or are what you're saying as you're spending more on space expansion behind Rhode? Would be, you know, inorganic. You know, where is that spending and when is the return on that spending likely to manifest on the top line, I guess, is my ultimate question. Thank you.
Mandy Fields: Yes. So maybe let me start with the four-point headwind. That is a net number. So that is net of any new space expansion, net four is the overall impact. The what we're not what we're cycling plus any new that we have. And so when we talk about space spend on space expansion, it really comes in in two varieties. One is on incremental space that we're currently getting. So that would include Rhode and like, the space expansion that we talked about with Ulta and different things that we noted on the call. And then there's also just refreshed spending that happens on space that you have on an existing visual merchandising, fixturing, display costs that happen with the spring resets. And so all of that is gonna kinda fall into that space spend that we're covering with that comment.
Tarang Amin: And I'd add, historically, the payout has been really good. If you think of, you know, we're look. The target example of we started at four feet. We're now at 20 feet at target. Number one position with over 20% of their category. Those incremental expenses over the years from a retailer standpoint have paid out really well. I can point the same across each of our customers. Having said that, we do believe there's an opportunity to be more efficient. With some of that spend. I think particularly given how much expansion we've had a lot of times when you're kind of trying to meet an expansion goal and kind of sprinting towards it, that spend could be higher than, I think, what we could we could optimize in the U.S., particularly internationally. I think some of the international space expansion has come at a higher cost. And as we look at it, we believe that's somewhere we can get a little bit more efficient. As we go forward, regardless of kind of the overall brand.
Operator: And with that, we'll be concluding today's question and answer session. I'd like to turn the floor over to Tarang Amin for any closing remarks.
Tarang Amin: Well, thank you for joining us today. As I said, I'm really proud of the incredible team we have at e.l.f. Delivering another quarter of consistent category-leading growth. We look forward to seeing some of you at the CAGNY conference in a few weeks and speaking with you in May. When we'll discuss our fourth quarter and full-year results. Thank you, and be well.
Operator: With that, ladies and gentlemen, we'll be concluding today's conference call and presentation. We do thank you for joining. You may now disconnect your lines.